Operator: Good day everyone, and welcome to the Telecom Argentina, TEO, Second Quarter 2013 Earnings Conference Call. Today’s call is being recorded. Participating on today’s call we have Mr. Stefano de Angelis, Chief Executive Officer, Adrian Calaza, Chief Financial Officer, Guillermo Rivaben, Director of Mobile Business, Solange Barthe Dennin Investor Relations Manager, Pedro Insussarry, Head of Finance At this time, it is my pleasure to turn the call over to Mr. Pedro Insussarry. Please go ahead sir.
Pedro Insussarry: Good morning to everybody and thank you for participating on this conference call. As mentioned by Kacey, our moderator the purpose of this call is to share with you the consolidated results of Telecom Argentina Group that correspond to the first half of 2013 ended on June 30, 2013. We would like to remind you that for all those that have not received our press release or presentation, you can call our Investor Relations office or download the documents from the Investor Relations section of our website located at www.telecom.com.ar/investors. Additionally, this conference call is being broadcasted through the webcast feature available in subsection and can also replay through this same channel. Before we continue with the conference call, I would like to go over some Safe Harbor information and other details of the call as we usually we do in our quarterly calls. We would like to clarify that during the conference call and Q&A session we may produce certain forward-looking statements about Telecom’s future performance, plans, strategies and targets. Such statements are subject to uncertainties that could cause Telecom’s actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of the public emergency law and complementary regulation, the effects of ongoing industry and economic regulations, possible changes in demand for Telecom products and services and the effects of more general factors such as changes in general markets or economic conditions in legislation or in regulations. Our press release dated July 29, 2013, a copy of which is being included in the Form 6-K report to be furnished to the SEC, describes certain factors that may affect any forward-looking statements that we may produce during this session. Furthermore, we urge the audience of this conference call to read the disclaimer clause contained in Slide 1 of the presentation. The agenda for this conference call as seen in Slide 2 is, to go over the general market overview, followed by the discussion of the business highlights, and an overview of our financial figures and finally, we’ll end the call with our traditional Q&A session. Having gone through these procedural matters, I’ll now go over a brief macro overview as an introduction to the general operating environment. Please refer to Slide 3 where we include some snapshots on the current Argentine macroeconomic environment. The levels of economic growth show some signs of recovery, thanks to an improving agricultural production and nominal wages increases that contribute to sustained consumption trends. During this quarter, industrial production was driven mainly by car manufacturing sector, while most of the other industries considered with lower levels of activity, because such as construction sector and the chain of supply appears to be an exception to this as progress was registered when compared to a very weak second quarter 2012. Basic sectors such as food and beverages, textiles and others continued to show decreasing rates of growth. As mentioned before, power consumption improved slightly in the second quarter of 2013. Thanks to wage increases expansion in public social expenditures such as social grants and pensions increases and the persistent low real interest rate that kept fostering consumer lending and spending. In this semester annual agreements between unions and companies were reached with salary increases in a range between 23% and 27%. On the external front, we can mention that despite increases in agricultural exports, rising energy imports continued to effect rebalance. The official exchange rate accelerated depreciation pace and a new plan to repatriate savings is being implemented. Finally, other expenditures growth decelerated in the first half of the year although it continues to grow above the pace of public revenues. The assistance on the Central Banks and the public pension fund systems continues to back the growth in government expenditures. After having gone through this introduction of the macro context in which we operate, let me pass the call to Stefano de Angelis, our CEO who will go over the business highlights. Stefano?
Stefano de Angelis: Thanks, Pedro. Good morning to everyone. Please refer to slide five, where we show the business highlights for the first half of the year. On the Mobile business, we continue to leading the market in terms of revenue share and we have outperformed the market in terms of year-on-year, while we have optimized our commercial cost structure. In terms of resources and infrastructures, we have forwarded our efforts in service quality improvement through strengthening the access capacity, so as to mitigate limited resources in terms of spectrum and sites. It’s also worth mentioning that 3G penetration now exceeds one-third of our subscriber base, while we have had a notable success in smartphone sell out. Regarding the fixed business, it is worth mentioning therefore to enhance our value proposition by speeding FTTx deployment. It is also notable that 28% broadband ARPU increased in the second quarter. We have also returned to positive quarterly net adds in both fixed lines and broadband accesses. When it comes to our financials, we continue with our strict cost controls to mitigate the impact of higher labor-related costs, the effects of the overall inflationary cost context and higher tax rates. A share buyback program was launched in May 2013 as announced. Please turn to slide six for comments on the Mobile business performance. Our focus in acquisitions in the high-quality segment of the postpaid continue to deliver excellent results while the prepaid segment regained strength with 145,000 quality net adds. As of June, our customer base stood at 19.3 million with a 3% year-on-year expansion, mainly driven by the growth in contract clients that show a 6% year-on-year increase. Meanwhile, monthly ARPU reached 75.5 pesos, broken by the expansion of value-added services. Our smartphone and mobile internet strategy continue to deliver great results where we are providing through 3G services to almost 7 million customers or more than one-third of our base with a growth of 73% year-on-year. Moreover, our smartphone sell-out currently surpasses 60%. On slide seven, you can see that service revenues grew by 22% in the first half of the year, helped by the increase of data and internet services that particularly in this quarter rose by 34% and 54% year-on-year respectively. Thanks to this expansion value-added services revenue participation reached 56% in the half and this is the highest in the region. This performance has helped us to sustain our service revenue leadership while optimizing our commercial cost as quarterly SAC and SRC costs have declined to approximately 11% of service revenues down from 17% a year ago. This was achieved, thanks to the subsidy elimination in certain segments that contributed to the overall subsidy reduction. Please turn to slide eight for a snapshot of our Paraguayan operations. Our clients in Paraguay reached 2.4 million, expanding by 6% year-over-year, while postpaid customers rose by 21% year-on-year showing solid market performance. This was achieved by leveraging on our mobile internet strategy, like the recently launched 4G LTE service and was supported by the continuous mobile network expansion in terms of coverage and capacity. In the first half, revenue in pesos rose by 39% year-over-year, but where value-added services revenues represented 54% of service revenues, boosted by growing internet service revenues. Finally, operating income before D&A in Paraguay increased by 28% year-on-year. Slide nine shows the evolution of mobile revenues that grew in the first half of the year by 23% year-on-year to 9.4 billion pesos. Revenues coming from mobile internet services, content and SMS were the main drivers of growth increasing by 53% and 29% respectively. Retail voice and wholesale services were up 10% and 12% respectively, while handset sales rose by 41%. Thanks to the increasing portion of 3G smartphone and subsidy reductions. The Paraguayan operation posted a 39% growth in pesos and now account for 6% of consolidated mobile revenues. Please refer to slide ten as we move to the evolution of our fixed business. The wireline broadband subscriber base returned to growth in the quarter and shows a 3% year-on-year expansion, while the ARPU rose by 28% year-on-year with the stable churn. We are speeding up the FTTx network to deployment as to improve our bandwidth capacity that’s improving the value perception of our offering. Slide 11 shows the evolution of our fixed voice lines that total 4.1 million. We have returned to positive net adds and we were able to report a monthly ARPU of 53 pesos that increased by 11% year-on-year. This performance was achieved thanks to the traffic package offering where nowadays three quarters of our customers have subscribed to flat pricing schemes. Moreover, the corporate ICT and other center services continue to deliver outstanding results as robust revenue performance of 30% growth year-on-year was achieved. We can see in slide 12 that during the first half of the year, fixed business revenues expanded by 16% year-on-year and totaled 3.3 billion pesos representing 26% of this consolidated revenues. This expansion was mainly due to the growth of our residential internet services, where revenues increased by 29% year-on-year or 266 million pesos, followed by data revenues that contributed with a 30% growth or 103 million pesos revenue increase. Despite retail and wholesale voice services, our caps with frozen tariff in first half 2013, we were able to increase revenues coming from these services by 6% and 5% year-on-year respectively. Nowadays about one-third of our revenues in the fixed business our price regulated. Slide 13, shows the evolution of our consolidated expenditures. We have invested 1.6 billion pesos in the first half that represents 12% of revenues while it is reasonable to expect a significant increase in capital, expenditures in the second half of 2013 confirming our guidance of 4.7 billion pesos or 17% of total revenues. As we continue to be committed to provide quality services we are aiming to double the 3G network capacity by year-end the scope with a significant traffic growth, we continue to experience. Among other efforts, we have increased the international IP bandwidth capacity to improve the customer experience. Moreover, we can also mention that we are accelerating that with the FTTx rollout deployment as to be able to launch ultra-broadband commercial offers by year-end 2013. Now, I will pass the call to Adrian who will go over our financial performance.
Adrian Calaza: Thank you. The business performance that Stefano described was reflected in our financials, posting growth both in terms of revenues and profits that outperformed the markets. Please turn to slide 15, where we show the evolution of consolidated revenues and operating income before depreciation and amortization. In the first half of 2013, consolidated revenues reached 12.7 billion pesos with a 22% year-on-year growth partially, particularly fostered by this second quarter 2013 revenues that expanded at a 27% year-on-year growth rate. It’s important to have to understand the line, that revenues coming from regulated tariffs, services, account for just 9% of total revenues, due not only to the growth of mobile and broadband businesses, but also because of frozen tariffs since 2001. Operating income before depreciation and amortization totaled 3.6 billion pesos in the first half of the year representing 29% of revenue and growing by 15% year-on-year. It is worth to mention that the second quarter presented a solid growth of 22%, thanks to not only to the significant revenue growth, but also to the strict discretion of cost controls and the optimization of commercial costs. In slide 16, we can see the evolution of our operating income before depreciation and amortization and the most relevant components that affected its evolution. With consolidated revenues growing by 22% year-on-year, some cost items expanded above this level. For example, the increasing taxes strongly impacted our margin in 80 basis points growing 33% year-on-year mainly due to increased municipality taxes and provincial turnover taxes. Labor costs grew by 26% year-on-year enhanced by better margins. Additionally value-added services cost expanded significantly at a pace of 147% even though it is important to mention that these services have a high margin contribution. Thanks to an efficient cost approach, marketing and sales costs, peaceful services, maintenance and materials and other costs grew at a slower pace compared with revenues helping us to partially mitigate the impacts of the other items. Moreover, in slide 17, we can see the composition and the marginal analysis of our cost structure. In the first half of the year, direct labor expenses represented 21% of our total operating costs or 14.7% of our revenues related to this, we have reached agreements with the unions involving an annual increase in salaries of around 25%. That will be granted in two installments starting in July with a 15.5% rise. Finally, as we just mentioned, cost related to value-added service more than doubled due to growth in both in penetration and usage of services to high marginal contribution representing 3% of our cost structure and 2.4% of our revenues. Please turn to slide 18 to consider the performance of our operating income that exceeded 2 billion pesos with a 9% increase in the first half of the year. It’s necessary to highlight that in this quarter the company registered a 172 million charge related to the disposal of PP&E. Furthermore, the operating income performance together with positive financial and holding results allowed us to both the net income attributable to Telecom Argentina of close to 1.5 billion pesos growing by 14% year-on-year. Regarding our financial position, in slide 19, you can see that the Telecom Argentina Group continues to report a healthy operating free cash flow generation that reached 2.1 billion pesos in the first half of the year and equivalent to 16% of revenues allowing us to reach a net cash position of approximately 5.1 billion pesos. It’s worth to mention that the Annual Shareholders Meeting approved the creation of 1.2 billion pesos reserve for a share buyback program that was launched in May. As of June, 30th we have repurchased 3.3 million shares paying approximately 83 million pesos out of such reserve. So having concluded with the presentation, and with the final remarks, we are more than pleased to answer any questions you may have. Thank you very much.
Operator: (Operator Instructions) We’ll go first to Michel Morin with Morgan Stanley.
Michel Morin – Morgan Stanley: Hi, good morning everyone. I was wondering if you can comment a little bit on the nature of the asset write-down that impacted your bottom-line this quarter and then secondly, in your release, you mentioned that there was a new regulation approved July 1, regarding mobile quality and I was wondering if you can elaborate a little bit more on that and what we should expect could be the potential implications of this new regulation? Thank you.
Stefano de Angelis: I will respond to the second question then I’ll ask Adrian to respond to the impairment of the assets. In this phase, the regulation that refers not only to mobile entities, business is under discussion as you go – we know, we have now 90 working days to define join with the – national watch dog too. It’s very important item that is the way to calculate the KPIs, because it’s very different to say that you have a drop call rate nationwide on the 24 hours. For example, when compared to drop call that is calculated in the peak hour or for all the local areas of Argentina. So we are now strongly discussing it each week to this when meeting one for the network side and the other for the customer side in order to, let’s say understand and to find jointly with operators the national network, the way of calculating the KPI. Second it would be very important to defer to the finance if and what is the best to reach the target of quality that the telecom has included in the resolution number five and in terms of implication, if we look for on the network side. We can say that in terms of CapEx, we do not see any significant expansion of covers, because today, our effort is today in the target of capital expansion that everything you know that we have a lot of strain for this CapEx. Especially for the new sites in order to gain all the authorization. So, today the 4.7 billion CapEx is a very tough target and we are 100% concentrate to reach this. I don’t think that at this transition excluding a spectrum auction, we have room to increase the level of CapEx for a problem of again of let’s say market conditions, that means especially the authorization from the administrative offices. In terms of the customers, maybe that we are going to experience an increase in the call center, in the call center cost to save the target. But here we expect to have a tax of one to two years in order to reach this target. In the meanwhile, we have to strongly work on improving the productivity of our call center to improve the mix between the traditional call center services and the innovative one like the works and the IURF. I’ll turn to Adrian for the impairment.
Adrian Calaza: Okay, hi Michel. Related to the strategy in our operating income, it’s related part of it on the write-down of some information technology assets and on the other hand, some impairment with it in some particular assets on the fixed, on our fixed operations.
Michel Morin – Morgan Stanley: Okay, great. Thank you very much.
Operator: Thank you. We’ll take our next question from San Dhillon with Barclays London.
San Dhillon – Barclays: Hi guys San here from Barclays. Three questions if I may. Firstly, on promotions, what are the plans in the region specifically on 700 megahertz auctions and do you believe it will caps in the current large spectrum holders who are working together? Secondly, is the current exchange rates in regime having a negative impact on CapEx are you able to still buy equipments and is there any pent-up need to invest? And on subsidies, have competitors followed in removing subsidies and do you have any intention to reintroduce some in the future? Thanks.
Stefano de Angelis: This is Stefano. I will answer to the question on the spectrum auction. As we understand by the public discussion of the national, today as you probably know we have approximately 200 megahertz between the 700 and 1700 to 2100 that was let’s say reserved for the mobile business. At the moment, there is not a process ongoing to get to an auction, let me say in the short-term, because the government today is strongly focusing on the quality. So we cannot expect by this year end to have an auction of this reserve frequency. We went to the discussion on the spectrum that was reserved again to start, you know that the notes included in a public degree and we are just waiting to understand that if we may imagine any way of collaborating with ourselves in all the, let’s say better use these national resources in the country. For the FX, I pass to Pedro.
Pedro Insussarry: Yes this is Pedro Insussarry. With respect to the access to foreign exchange to say basically imports related to our CapEx, no we are not having any significant problems, obviously the process has become more complicated. We see there is a lot of paper work to be complied with and to be presented at the banks that basically sell the FX to us. But in terms of the FX to pay and basically our ability to pay in a timely manner, virtually that’s not the case, that mean we don’t – we are not suffering any delays with respect to this. So there is no effect on CapEx related to the FX markets. With respect to subsidies, I’ll pass the call to Guillermo Rivaben.
Guillermo Rivaben: Good morning to everyone, this is Guillermo Rivaben. Regarding subsidy where we have a combination of factors. Just only that we get new portfolio of smartphones, where the cost for us for the smartphones are going down. We actually are introducing to the market smartphones with android, fresh brands below $80. On the other side, we spread our offering in prepaid handsets, where we have the opportunity to increase also the price then it’s a mix of a more quantity of handsets that we put on the market with a variable prices in a segment that we have our mark-up not a subsidy. The combination of both factors give us this source in terms of a lower subsidy rate. That’s all to add to this answer, as you ask this. This is an industry trend and the answer is yes, it is an industry trend. It’s again at one point that it’s not 100% business-related. Let’s say that today in Argentina, if you look at the middle and high classes as a consequence of the macroeconomic environment, a large disposable income and there is a very strong demand for this smartphone. So the price today is not, let me say a barrier for sure and it’s not a variable where the market is growing strongly due to these stronger variable income in pesos from the middle and high classes.
San Dhillon – Barclays: Okay, than you very much guys.
Operator: Thank you. We’ll go next to Alejandro Aranda with ITAU.
Alejandro Aranda – ITAU: Hi, I have two questions if I may. The first one is regarding margins. I would like to know, if we can expect them to keep deteriorating in the future or we could see a slight recovery towards here like we saw last year? The second one would be a follow-up on what you just said about smartphones. I would like to know, what percentage of smartphones now account for your mobile volumes?
Guillermo Rivaben: Okay, in terms of margins, you know that for Italy, the profitability margin was affected the labor cost. If you look at this offer, you may see that the labor cost is not strongly affecting the margin, the margin and – first of all, we were able to spend, A more than 20% growth in the top-line offsetting the growth in the labor costs. On the other side, we are strongly working on the efficiency side strongly and further integrating the mobile and the wireline units in order to reduce the number of FTE or full time equivalents. In this half, especially what affected the profitability was an increase that was decided in January of the provincial turnover taxes that the our factory as Adrian was mentioning during the presentation approximately 1 percentage point. Our margin is difficult for us the forecast is this is something that after the one-off, let me say one year effect of the 2015, this is going to continue in the next half of the year obviously, but this is not something we are managing. On the other side, what is affecting the profitability is the continued growth in handsets, but let me say this is something that is in our dilution of the margin that is not considering the good results in terms of limiting the subsidy this is not affecting the absolute margins of the company and again more an algebraic impact that is not creating a problem from our side. Last, we are strongly growing in terms of content revenue, content revenues have a profitability that is very good because it’s in the range of 70% let’s say as gross margin. Here when you, in the past it was growing in SMS, in voice, where the profitability is higher than the gross margin is higher than 70%. Again this is affecting the profitability, but again, we have to look at the absolute figures of the DD&A. Regarding the smartphones division in the sales and the customer base I’d like to turn.
Stefano de Angelis: Okay, I think that’s a very important market to – we need to consider it and it seems in May, we reached 100% of our sell-out and currently we see that’s very important for our strategy in terms of giving more data capacity to our network. In smartphones, we reached 50% of our sell-out. We owe to the total penetration in the total customer base, we are in about 25% of smartphone in that customer base.
Alejandro Aranda – ITAU: Okay, thank you very much.
Operator: Thank you. We’ll take our next question from Rodrigo Villanueva with Merrill Lynch.
Rodrigo Villanueva – Merrill Lynch: Thank you. Hi, good morning. I was wondering if you could share with us your views regarding Arsat and if you could tell us when would you expect to have additional competition coming from this company? That would be my first question.
Guillermo Rivaben: Okay, and again accept it’s difficult to – if we look at the public segment, we had a statement in late January announcing the launch, with a master launch of Libre.ar. In the meanwhile, honestly nothing is happening in terms of network deployments. We know that there are a lot of discussions in order to understand the way of – the launch of a national mobile operator was confirmed by the Ministry of Communication of planning the day that was announcing joined with Norberto Berner, the Secretary of Communication, the new quality regulation, it was reaffirming that intention to launch the Libre.ar mobile services. The way of doing it that may move from the first one that is the MVNO operation through, let’s say one with a development on the new – of a new network in Argentina. It’s something that I think it’s under discussion and for sure we are not participating to this discussion. We are waiting some related news in the forthcoming month.
Rodrigo Villanueva – Merrill Lynch: Understood, thank you very much. My second question is regarding dividends. After approving 1 million pesos for dividends by the end of May, I was wondering when shall we expect any distribution to take place.
Adrian Calaza: As you know, we have been taking some steps in order to deliver value to our shareholders. We have obtained the approval in the Shareholders Meeting of last May to create two different services. One for future cash dividends, that’s – they wanted you will mentioning of 1 million pesos and another for future capital operation and this approval was delegating to the Board of directors, the power to decide on the timing and the manner of use both the service. Our Board intention obviously is to finally fulfill shareholder requisition for dividend payments. We are analyzing in this moment in local context in order to decide when and how to allocate the dividend reserve. And in this moment, we are focused on the share buyback program that was approved in May by the Board using the reserve for future capital operation and investment which we strongly believe and we understand that we are executing very well. We are sure that this means we are adding value to the company and to the shareholders.
Rodrigo Villanueva – Merrill Lynch: Understood and one final question. Looking at your press release, well you still mention the same amount of shares that you had at the end of the previous quarter. What are you planning to do with these shares? Are you eliminating the shares that you are buying back or how shall we expect you to proceed with that?
Pedro Insussarry: Rodrigo, this is Pedro, well, basically what we are doing is, we are keeping those shares in treasury. If you look at the evolution of our shareholders equity, you will see an new column that basically subtracts the amount of shares that we have repurchased from our shareholders equity. And basically, on legal terms, we are keeping those shares in treasury. We have three years to basically decide on what we are going to do with those shares or cancel those shares or basically this is to be a pro-rata with the shareholders and in terms of rights, the rights of those shares are suspended. So effectively, as long as we continue repurchasing shares, economic rights and voting rights of the existing shareholders will increase.
Rodrigo Villanueva – Merrill Lynch: Okay, thank you very much, Pedro.
Pedro Insussarry: You are welcome.
Operator: Thank you. We’ll take a follow-up from Michel Morin.
Michel Morin – Morgan Stanley: Thanks, I just wanted to follow-up on that earlier question on dividends. I understand the sensitivities involved here, but just for the sake of for investors who either on the stock or thinking about holding the stock, should they anticipate that the dividend is possible in 2013 or is this kind of a possibly something that could get dragged out beyond the current calendar year?
Stefano de Angelis: For sure, Michel, the dividend is something that stands for an annual base, for sure by year end, we will bring the dividend issue on the board and then we will see what the board will decide. For sure, the dividend is something we intend still to consider as an annual way of distributing the results to our shareholders.
Michel Morin – Morgan Stanley: Okay, thank you very much.
Stefano de Angelis: It’s something that we are postponing for the future years let’s say.
Michel Morin – Morgan Stanley: Okay, so it’s been approved by shareholders, but there still needs to be a Board level…
Adrian Calaza: No, no, by – it was approved, yes it was approved by the shareholders creating this reserve, empowering the Board to decide. What Stefano was mentioning that for sure before the year-end we will go back to the Board to see what the company will decide on this issue.
Michel Morin – Morgan Stanley: Okay and in terms of the buyback that was announced a few months ago, is there any beyond the authorization that you have, which I think is valid for 12 months or so. Is there a specific objective in mind in terms of what the – I don’t know thinking perhaps in terms of a controlling shareholders stake and is there a target for the controlling shareholder to increase their stake to a certain level through these buybacks or is it really just liquidity management?
Adrian Calaza: No, no its liquidity management and the target is to completely use the votes created. The constrain is represented by the limited closing that we have here in our guidance locally. And the intention is to 100% use the reserve to buy next year, let’s say we have a target of – until that is the day where we will discuss the distribution and the allocation of the results of 2013.
Michel Morin – Morgan Stanley: Okay, great. Thank you very much.
Operator: (Operator Instructions) We’ll go to Fedrico Rey with Raymond James.
Fedrico Rey – Raymond James: Yes, hi, good morning. I have a follow-up question on the CapEx plans. If I am not wrong you expect to invest like a 4.5 billion pesos during 2013 and so far in the first half of the year you have investment like 1.5. The average to understand is, the 4.5 billion diluted and which would be the main areas of investment during the second half? Thank you.
Stefano de Angelis: The target is 4.7 billion with the – and as you know, of the industries the telcos have a very significant participating in the second half and specifically in the fourth quarter of the year in terms of CapEx accounting that this do not mean that the activities, the projects are being rolled out in this month. And our expectation is 100% to confirm this figure is bigger. As I told before, the strong progress, more than 50% of this CapEx is dedicated to the network. In the network it’s very important, but we are being supported by the central government and the regulatory stock in the sense, we have all the authorization in order to be able to stay in our plan, especially for the access of the mobile obviously.
Fedrico Rey – Raymond James: Okay, thank you very much.
Operator: (Operator Instructions) It appears we have no further questions. I’ll turn the conference back over to our speakers for any additional or closing remarks.
Pedro Insussarry: Thank you very much for participating in our quarterly conference call. Please do not hesitate in contacting our investor relation department for any further enquiries so you may have. Good morning to all. Have a nice day and we expect to meet very soon. Thank you.
Operator: Thank you very much. Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect.